Operator: Good morning and welcome to Olin Corporation's Fourth Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Following today's brief opening comments there will be opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Steve Keenan, Olin's Director of Investor Relations. Please go ahead, Steve.
Steve Keenan: Thank you, Jason. Good morning, everyone, and thank you for joining us today. Before we begin, let me remind you that this discussion, along with the associated slides and the question-and-answer session that follows, will include statements regarding estimates or expectations of future performance. Please note that these are forward-looking statements and that actual results could differ materially from those projected. Some of the factors that could cause actual results to differ from our projections are described without limitations in the Risk Factors section of our most recent Form 10-K, the third quarter 2020 Form 10-Q, and in yesterday's fourth quarter earnings press release. A copy of today's transcript and slides will be available on our website in the Investors section under Past Events. Our earnings press release and other financial data and information are available under press releases. With me this morning are Scott Sutton, Olin's CEO; Pat Dawson, President, Epoxy and International; Damian Gumpel, President, Chlor Alkali Products & Vinyls; Jim Varilek, Olin's COO; and Todd Slater, Olin's CFO. Scott will begin with some brief remarks. And thereafter, we will be happy to take your questions. I'll now turn the call over to Scott Sutton.
Scott Sutton: Yes. Thanks, Steve, and hello to everyone. Look, I'll kick off my comments by saying just how proud I am of our entire Olin team for bucking traditional stale paradigms. Our fourth quarter results demonstrate the team's resolve and leadership. Olin people are masters of the ECU and we are prioritizing value first above all else across the entire ECU, not just in one or two products. That means we don't sell excessive volumes into poor quality markets. Instead, we withdraw supply and we generate purposeful activations on both sides of the ECU up and down our derivative chains, resulting in margin improvements on both sides of the ECU. Slide number 12 in the appendix demonstrates this activity and effect. In fact, maybe the most important slide we have ever published is Slide number 12. Our model also rejects the notion that this business must be deeply cyclical and will always have its co-products moving in opposite value directions, thus generating mediocre ECU returns over the cycle. It is not cyclical and is quite steady when Olin does not push excess volume and chase the poor quality side of the ECU down across an inflection point on Slide number 12 into an oversupplied swamp of poor pricing. Now, turning your attention to Slide number 3, Olin's quarterly ECU profit contribution index chart, even though the global Chlor Alkali market configuration is in the poorest state for Olin. In other words, when strong back integrated PVC production, which Olin does not directly participating in pushes out lots of co-produced caustic into a weak caustic demand environment really the emphasis being on the weak caustic demand point here. We still sequentially lifted our ECU PCI, by lifting margins across flooring, EDC, and virtually every flooring derivative while simultaneously not allowing Olin caustic to decline in price as much as industry indices would have anticipated. The ECU PCI shows our commitment to quality and our adjusted EBITDA improvement shows the results of that commitment. I will also comment here that our fourth quarter adjusted EBITDA result is pure as there are no non-recurring items included. And speaking of quality and moving into Slides 4 and 5, Winchester delivered the best quarterly performance in the businesses 155 year history, with even better quarters expected throughout 2021. The Olin Winchester team relishes its commitment to support both the U.S. Warfighter and the more than 55 million of us who enjoy shooting sports. These themes are woven into the fabric of America and we expect that elevated shooting sport participation is here to stay. U.S. military modernization initiatives are expected to create additional opportunities for Winchester as well. So, you know wrapping up my opening comments with Slide number 6, our first half quarterly average EBITDA should be better than the fourth quarter of 2020 across every business. Note that we do have a number of turnarounds in the second quarter to contend with. And we expect a 10% improvement in the ECU PCI across the first half. Here are some key points specifically for the first quarter. Point number one, Epoxy will be the star of the ship and is expected to surpass our prior quarterly EBITDA record as the team lifts the permanent earnings foundation of that business to match the value of our product offerings. Point number two, our merchant chlorine net backs go to a multi-year high following our fourth quarter activations, which included shifting an additional 30% of our ongoing business away from arbitrary external trade indices. Point number three, our broad productivity gains start to show up as our fourth quarter project pipeline grew by 20%. We start 2021 with 633 active projects. Please see, Slide number 15 in the appendix for some more detail on that. Point number four, the early redemption of $120 million of the high cost acquisition bonds this month was funded 100% with cash from operations, as was the additional 100 million dollars of bonds repaid last October. Through a combination of improved adjusted EBITDA, disciplined capital spending and debt reduction, we expect our net debt to adjusted EBITDA ratio to improve to roughly 3x within the next 12 months. So looking out just a bit beyond 2021, we have the team, the skills the operating model, and the assets we need to achieve at least $1.5 billion in EBITDA. Additionally, we have adjusted down our forward annual capital spin requirements to around $200 million, reflecting a better match of our physical plant assets to our model. This adjustment in turn enhances our levered free cash flow and that cash flow inflection point should be clearly evident in 2021. At the same time, we reached $1.5 billion in EBITDA, global ECU supply, demand fundamentals are likely to be improved and Olin will expand our strategy to incorporate fixed asset light structural moves to take us to the next higher EBITDA level as more molecules move through our sphere of influence, those moves are likely to be just as disruptive to conventional paradigms, as is our current model. We will look forward to speaking with you in the future about the next EBITDA tranche above $1.5 billion and those supporting activities. So that concludes my opening comments. And so operator, we're now ready to take questions.
Operator: Thank you. [Operator Instructions] The first question is from Mike Leithead from Barclays.
Mike Leithead: Scott, you've talked a bit about your new value first selling strategy for the past few quarters here. I hope you can maybe give us an update on how your customers have broadly responded to this as well as perhaps interactions you've seen in the market from your competitors in response to this.
Scott Sutton: Thanks a lot Mike. Look, I mean, we won't comment on competitor reactions, okay? But what I would say about customers is, I mean, clearly this is challenging for them. And we certainly understand that. However, at the end of the day, they recognize that we're a critical part of their future growth and they want us to be successful as well. And that means we really do need to lift these materials up to reinvestment economics. So it's been challenging, but it's been progressive.
Mike Leithead: That's fair. And then, I appreciate a lot of your focus and comments or focused on kind of Olin's specific actions, but curious if you could just kind of walk through what you're seeing in your key product markets in terms of kind of demand recovery. And maybe if you look across your portfolio, where do you think the greatest pricing opportunity is today?
Scott Sutton: Yes. I would just comment, generally, and then I'll ask Dami and Pat to make some comments here. But, I would say that, general industrial demand has still been fairly weak. And that's going to play itself out to our favor in the future. In specific areas, though, it's been quite good. So with that, let me ask Pat from Epoxy to make a few comments, and then we'll ask Dami and to do the same thing about CAPV.
Pat Dawson: Yes, Mike. This is Pat, I think on Epoxy, when you start out and you look at the demand side of things, we've seen sequential improvement in our demand since June month-on-month and certainly quarter-on-quarter. So the demand, quite frankly, where we sit today, and you got to remember, demand is really driven a lot around industrial coatings, automotive, electronics, wind energy. Quite frankly, we're back in a lot of those segments to pre-COVID demand levels. So we're sitting here, what, almost in February and demand looks good. The other thing that has been encouraging on demand is the fact that China has been very robust. And I think the demand of Epoxy in China is probably as good as we've seen it for a while. But, Mike going back less than 24 months ago, when we had our Investors Day, we were showing then that the overall industry supply demand fundamentals for epichlorohydrin, which is a major raw material going into making epoxy resin. Along with epoxy resins, we're already in the mid-80 type industry operating rates. So this is nothing new. It's just simply been the industry getting tighter. And now coming out of COVID, we see things very tight. It's given us pricing traction that started, quite frankly, back in September, October and has only built in momentum through the end of the year. And we see that momentum continuing here in the new year and right through the first quarter. So there's increases out there, there is public and the public domain that had been announced. We're seeing good traction on that and we see the fundamental is very good.
Scott Sutton: Dami?
Damian Gumpel: Hi, Mike. Thank you for the question. When we look across the board across the academy portfolio and tell you that as we look here in '21, we have a good upward momentum here on across the board and all our product groups. Obviously, caustic is a big one if we look at economy starting to open up again manufacturing activity increase; pulp and paper activity increasing some more; alumina, aluminium by any external indicators is poised to have a rebound in '21 over '20. So clearly caustic is, we see signs of caustic improving over the course of the year. You look on our merchant chlorine business, you look at our titanium dioxide and iconic demand, the polyurethanes and other areas, we continue to see what we split were exactly what Pat's on his side. We see demand starting to -- really started to come back in the second half. And we continue to see that well in the '21. We see our chlorinated organics business also shown rebounds with applications in the pharma, water treatment refrigerants also firing back on their cylinders. And then lastly, our bleach business continue at elevated levels for using a disinfectant, but then you start getting into second quarter and the seasonal demand. So really, in summary, I can tell you that, our view right now is that, looking ahead the demand looks very good for both sides of the ECU for our portfolio.
Operator: The next question is from Kevin McCarthy from Vertical Research Partners.
Kevin McCarthy: Couple of questions on Winchester. What is your expected contribution from the various price increases that are flowing through your business in 2021? And then, secondly, if we look at history, oftentimes the year following an election is such that, demand sort of softens, relative to the election year itself, where there's a lot of strains. And based on your commentary, it sounds like your outlook is very positive. So I was wondering if you could address each of those two things and help us to put it into context with regard to your outlook.
Scott Sutton: Yes. I mean, sure, Kevin, I mean, just the general statement is that Winchester results are going to continue to improve and continue to improve throughout 2021. The pricing, right, without an absolute number, we put pricing and achieved basically 100% of that pricing on at least four occasions over the last six months or so. So in terms of the profit improvement that you see in that business, it's probably the leading driving factor. And then, the fact that we also have, Lake City as part of our portfolio is also another leading driving factor. In terms of election and looking out, I mean, really, the fundamentals have shifted for that business, which is different than it's ever been before. I mean, shooting participation is way up. And we expect that to continue as a long-term trend. So, my point here is this is not just a 2021 phenomenon, we expect that business to do much better throughout a number of future years.
Kevin McCarthy: Okay, that's helpful, Scott. And then, a second question, if I may on Epoxy. Clearly, there's a tremendous amount of pricing strength in recent months. And I was wondering if you could help us understand how much of that is due to Olin's change in strategy around the ECU profit contribution index, relative to exogenous market dynamics, such as various competitor outages in Asia, any color around that would be really appreciated.
Scott Sutton: Yes. I think Pat will provide some color here. I mean, I would just preface it by saying in our Epoxy business, it certainly is part of our strategy to -- first and foremost, lift value across the whole ECU first and Epoxy is a significant part of that. But then, Epoxy has its own landscape fundamentals that Pat is exercising a lot of activities around. So Pat?
Pat Dawson: Yes. Kevin, I would say, first of all, we're very active around upgrading where we decide to place epoxy resin into our targeted applications and customers around the globe to drive the best returns to the ECU. Because, I think a little bit of a different mindset change is that, I've got to compete and make sure that I can get enough chlorine to put into the epoxy chain. And so, if I'm not improving my returns to the ECU internally Damian will take that ECU and place it somewhere else. So that puts a different perspective and a different color on our sense of urgency and the sharpness of which we evaluate where we're going to place that epoxy, like I say into our targeted applications. Also, Kevin, we've talked a number of times about the fundamentals of Epoxy and the fundamentals of epichlorohydrin, which is a key raw material. And since the reinvestment, economics haven't been there in the industry for epi or a lot of the base, liquid epoxy type resin business, there hasn't been any capacity at it. So, if you work off of this, discussion we had less than 24 months ago at the investors presentation, I think you're just seeing the normal occurrence of a market that hasn't been invested in from an additional capacity standpoint. I think the other thing, Kevin that you're seeing a little bit more color around China, if you recall, a few years ago, they were really cracking down hard on environmental regulations enforcing those regulations, which I think was great. I mean, that was good for the industry, is good for China. But I think that took some capacity out that may have not been so transparent. And that's why you had probably the longest running arbitrage we've ever seen on the price of LER in China versus LER outside of China. That gives maybe a little color of what's going on here.
Operator: The next question is from Hassan Ahmed from Alembic Global.
Hassan Ahmed: Scott, as I take a look at some of the commentary near term wise that you've given and sort of compare and contrast that with the full year 2021 guidance that you had given, call it in early November, it seems that things have certainly improved a fair bit since then. And as I take a look at the guidance you give it was, 860 million on the low-end, 1.06 billion on the high-end. And we're already at a run rate of a billion annualized in EBITDA. So I was just wondering whether, you'd sort of update that guidance in light of some of these sort of improvements that we've seen through the course of Q4, and some of the early indications that we're seeing a certain degree of strength in 2021.
Scott Sutton: I would say that we really are updating that guidance here. And we tried to be really clear that first quarter, the average of first half continues to do better and certainly the full year, I mean, the reason that we're updating that guidance is because our model and just to restate it, principally, it says that, look, our market participation is set by the weak side of the ECU, translation is that we don't sell into poor quality markets, we do activations up and down our chain on both sides of the ECU. And if you ever get a chance to look at that slide number 12, it just says, we move our business from the green points to the blue points by running in that way. So I guess my point is, we're having success in doing that. And there's still a lot of things that we can do to take off some of the handcuffs that we have and we see ourselves being more successful at doing that throughout 2021. So that's the reason that we've updated our guidance.
Hassan Ahmed: Very helpful. And as a follow up really appreciate, Slide 15, where, obviously you are talking about sort of over 600 active projects that you guys have started in 2021. And as I was going sort of down the list of projects that you guys mentioned, a series of sort of capacity closures and the like, but as sort of you're thinking about all of these projects, how are you thinking about sort of potentially certain asset sales as well.
Scott Sutton: I would say in terms of asset sales, right, that's not necessarily part of our near term agenda. We're more concerned with immediate productivity and better cost performance that we can get from actually closing some assets that are underutilized, but I do think Jim could probably provide some good color on the overall productivity program and how that is evolving?
Jim Varilek: Sure. Hassan, one of the things that an important pillar obviously of our success here is productivity. We're talking about $50 million to $100 million of net savings for 2021. I think this is the epitome of controlling our own destiny. This is something that we absolutely control is our own costs and our own our own productivity. So we've been very active and we stepped up our activity in the fourth quarter, where we increased our project portfolio by 20%. During the fourth quarter, we completed a large number of products over 900 projects for the year that actually work into our baseline cost for 2021. And then, of course, we're being aggressive with over 600 projects as we start the first quarter of this year. And so we're really making a concerted effort to control what we control on the cost side and help open up the margins as we're successful on the commercial side and you can see the variety of projects. This is a very broad based program. It's virtually at every aspect of our company, whether it be structural with asset closures that like you see on the list, or whether its raw materials or railcar management, or sales tax or associated costs, every single element of the company, every person in the company is responsible for productivity and that's really what we're stepping up. And on the structural side, with some of these closures, you see the VDC and overlap closure, and our ECU plant closure that's going to happen in the second quarter that we're moving forward with are just some of the things that we're doing on the structural side. And of course, we're going to continue to look at our capacity, the ECU capacity that's under utilized and we're going to continue to scrutinize that. And as you can see, we've made decisions in the past and we'll make decisions here in the future.
Operator: The next question is from Alex Yefremov from KeyBanc.
Alex Yefremov: Scott, you mentioned 10% improvement in PCI in the first half, I understood it correctly. How should we think about your margin and some of the actions, we just take, essentially sales in chlor alkali and epoxy segments and assume a 10% margin on that.
Scott Sutton: Hi, Alex. That's a good question, right. I mean, we've said the ECU PCI is not only the number one indicator of our success, but our commitment to our plan. So if you think back to what I said, on the third quarter earnings call, I said that that ECU PCI represents about 75% of the business that this company does. So it's really only excluding our Winchester business and excluding our aromatics business, right? So you could imagine, just as a rule of thumb without having an exact math formula that you can take 75% of our revenue and then think about what our contribution margins or our variable margins might be. And then, you get to a 10% improvement in the ECU PCI over the first half. So an average is some amount a little less than 10%. And that should be a significant chunk of improvement that happens to our profitability through the first half of this year.
Alex Yefremov: And thank you, Scott. And that is relative to what basis to fourth quarter or back half of '20.
Scott Sutton: No, I'm saying that will be a 10% improvement in it from where we finish the fourth quarter at.
Alex Yefremov: Understood. Thank you. And you also mentioned the 1.5 billion EBITDA level, is that something that you see as sort of near term target but not 2021, or something that you're thinking could be achieved in 2020 or already?
Scott Sutton: That wasn't our 2021 target. But that comes along really not too far after that. And therefore, that was all of my comments around we're really looking forward to talking about what happens beyond that as well, but it's a little bit after 2021.
Alex Yefremov: And last question, if I may, CINTEC announced expansion, it looks like it includes VCM capacity growth in excess of PVC growth, you have a contract was selling VCM to this company. How protected are you within your contract, is CINTEC obligated to buy volumes from you and for how long?
Scott Sutton: Yes. And so I probably won't comment directly on the very specifics of that. But what I would say in general, is expansions like this, particularly this one, they're really expected and needed, especially in this timeframe, right, three years away. So that's because of demand growing on both sides of the ECU. And we certainly don't expect any negative impacts out of that and all of that is planned for.
Operator: The next question is from Mike Sison from Wells Fargo.
Mike Sison: Really good nice results there. Scott, just out of curiosity, when you think about the third quarter, ECU, 99.6, and then the 106.2, how much of that was really you guys making the changes? And then, obviously, when you look at the consultants indexes, the ECU went out. So I'm just trying to understand, how much of that or maybe all of it potentially what you have done so far?
Scott Sutton: We're all very focused on controlling our own destiny. And if you think about the way we're operating and may certainly be disruptive compared to, what has happened in the past. So certainly, we've driven our own results to this point. And when you're acting in that manner, I think, opportunities present themselves that otherwise may not have come up. In other words, those happenings before that we didn't turn into opportunities get turned into opportunities. And the way to think about this business because there's so many different markets, it's co-production, we have derivative chains, there's opportunities that come up every day, regardless of whether in one product area demand characteristics are improving, or declining. And now, we're positioned to take advantage of those all the way up and on the way down.
Mike Sison: Got it. And then just a follow up on Winchester. When I've been to Cabelas or such, you can't really find Winchester ammo, or anybody's ammo for what it's worth. So are you looking to expand capacity? And then, when you look at the pricing of these retail stores, it's 3x November, maybe 4x in some cases? Are you locked in those type of prices for this year? And maybe just a quick reminder, how much is commercial in law enforcement that way so to understand the mix there?
Scott Sutton: Mike, I had to start at the back end of that, if you think about the mix of the business, it's not that far from being 50% military, 50% commercial with some law enforcement mixed into that those are really, really rough, rough numbers. In terms of capacity, I mean, we just, of course, acquired a lot of capacity with the Lake City operation. But we continue to run that hard. And instead of expanding capacity, what we are doing is looking to optimize that capacity, so that we do the right things for unit margin. In terms of whether we're locked into a lot of things, our government business, our military business is more steady. But commercially, even over the last six months there's been certainly three or four price increases until we have the ability to change price as we need to change price. In fact, we have a February pricing freeze that's on the table right now that really impacts nearly all of our commercial business or a lot of it anyway.
Operator: The next question is from Frank Mitsch from Fermium Research.
Frank Mitsch: And if I could translate Mike's question, he was really asking you guys to ship him a couple of boxes. I thought this was the genesis was for his question but if I could stay on Winchester, obviously very impressive 45 million of EBITDA. How do we think about the contribution from Lake City versus heritage Winchester? We would have modeled in something like, I don't know 12 million or to maybe 15 million at most for Lake City in the quarter. So just trying to understand how that played out. How do you think that's going to continue to play out?
Scott Sutton: Look, I mean, our improvement was due principally to two banks. And you're right, one of them is Lake City. And the other one was certainly, better commercial performance and productivity performance across Winchester. So you can sort of think of those two things as sharing that improvement to get to that 45 odd number and we're going to continue to build on both of those. Lake City will be better than we said but it'll really be because of our team's actions once we have Lake City. And so that 45, that you referenced really becomes the low quarter in the next five quarters.
Frank Mitsch: Wow! Very helpful. Thank you so much. And if I could just ask a question on a Chlor Alkali side, given the fact that you're not selling into portfolio market and indicated in the release that your volumes and Chlor Akali were lower year-over-year, I was wondering if you might be able to quantify, was it low single digits, mid single digits, down double digits, either sequentially or year-over-year, however you want to handle it such that we have an appreciation for how much is, that business is benefiting from the PCI versus the volume side of the equation there.
Scott Sutton: Yes. May be Damian will answer this question.
Damian Gumpel: Yes, sure. Frank good to talk to you. I would say that when we look at -- if you look at our performance over the back half of the year, the contribution from a PCI more than more than outweigh any headwinds from lower volumes or costs. So as I sit next to Pat and Jim here, we're working very closely together, the productivity gains that Jim has done and has led the way really creates a lot of air cover for the commercial organizations to go out and put value over volume at risk knowing that, we're constantly and deliberately working our costs down. And then, if we look at our activations, as Scott mentioned, let me just give you a few data points here. We purposely in Q4, against the weak caustic market, we played less caustic soda than we otherwise maybe had the ability to do. And so, we purposely kept caustic soda, off of our participation. We did the same thing with EDC as well. We make EDC in conjunction liberating caustic soda. While the caustic soda is weak that means that we're going to play to that weak side, that also means we're going to limit our EDC and we see that our demand for EDC that were more than outweighed our desire to supply and we were purposeful in activating around that and looking to achieve ever increasing values on EDC. Same goes for our bleach business where we announced many several off-season price increases in bleach in Q4. And we achieved those and we've negotiated higher value contract for us for the totality of 2021. We did that in our GTO business. We announced price increases in Q4 against strong volume purposely held some volume back as well there to activate around that. And in cases, we were the only ones with a price increase on the table, we achieved the price increase and got the volume. So very purposeful set of working through our cost but being very much in-charge of our own destiny as it relates to being willing to put the value over the volume, I think our fourth quarter results show that model has some very good and positive returns.
Scott Sutton: Frank, you should think of that prices at least, three or four times depending on what comparison you want, the penalty associated with volume. Again, it is much more about margin enhancement than the issue on volume that well outweighs it.
Operator: The next question is from Vincent Anderson from Stifel.
Vincent Anderson: So you talked about Epoxy having to compete for chlorine internally, which is interesting. I don't normally think of those as an asset light business. And so without seeing anything specific to Epoxy highlighted on Slide 15, I was just interested in getting some color in terms of how much more fixed cost you feel like you can get out of those to facilitate the kind of flexibility you're talking about.
Scott Sutton: Yes. I mean, thanks a lot. I'll just take a quick shot at this. Look, we have room out of the company to tight fixed cost. And that's pretty widespread, what we haven't really tried to do, at least for external purposes is to narrow that down to business by business, I would just sort of close that point by saying, look, we're going to get $150 million to $200 million of gross productivity, which translates into that net 50 to 100. And there's opportunities across all the businesses to do that.
Vincent Anderson: Okay, that's helpful. Thanks. And then, Scott, you teased out some asset light moves, I think you called them that, if I'm interpreting it correctly, could shift the portfolio a little bit. With the improvement in base free cash flow going forward, really starting now, are there any areas in chlorine derivatives or maybe some small acquisitions could have an outsized impact on ECU optimization?
Scott Sutton: Yes. The answer is yes. I mean, it's not impossible. Of course, our principal strategy, when we get about $1.5 billion of dividend will be to get more molecules underneath our umbrella. And what that might mean just sort of a teaser to the future a little bit, Ryan, it won't be just trading activities, it won't be just production activities, either. And it won't be just marketing activities either, it's going to be more than any of those put together. And it's probably going to be something the industry has never seen before and may be disruptive, just like our model is disruptive to conventional thinking right now.
Vincent Anderson: Okay. A lot to think about there. Appreciate it.
Operator: The next question is from Neel Kumar from Morgan Stanley.
Neel Kumar: In terms of the $1.5 billion of EBITDA, I know you mentioned it's not a 2021 target. But you just provide how many years out that could be a potentially attainable goal? And can you just talk about what are some of the underlying assumptions needed to get there? And how much of the increase is under your control versus perhaps being more market driven?
Scott Sutton: Yes, thanks a lot, Neel. I mean it is two or three years out, right, we haven't put a specific timeline on that. But I think the more interesting answer to your question is that we have everything that we need to get to that number. So it really is all about executing this differentiated model across the company. So we don't need anything else. And that's also why we can run $200 million of capital for many years, in fact, to be able to support our business model.
Neel Kumar: Thanks. It's very helpful. And then, just for chlorine, I didn't understand up to $200 per ton out there and some of the price increases. Can you just give the sense of how much the chlorine portfolio has seen that price increase? And then, it seems that IHS only recognize a portion of those increases? What do you think that's not been recognized, so far by the IHS?
Scott Sutton: Well, I would just say I probably can't answer why IHS didn't see them, probably a good question for them actually. For us, we are still unwrapping ourselves from certain commitments that we have to follow through on. So, in terms of merchant chlorine, we still have maybe the minority, but a minority growing share that we can instantly change price on and we're working to improve that.
Operator: The next question is from Matthew Blair from Tudor, Pickering, Holt.
Matthew Blair: I had a few questions on Epoxy. So it seemed propylene and benzene cost move up quite a bit in January. Of course, LER price has also soared about $0.27, because you just walked through the moving parts here and all things equal, would you expect to see unit margin profitability increase in epoxy in Q4 versus -- sorry, Q1 versus Q4?
Scott Sutton: I think Pat will give you a little color on that. It'll probably just sort of cut to the chase and get to the answer on that without too many moving parts.
Pat Dawson: Yes. Matthew, short answer is yes, we are going to expand margin in Q1 versus Q4. And that's a short answer.
Matthew Blair: Sounds good. And then, Pat, you previously touched on strong demand end markets in Epoxy like wind and autos, I think the price gains are just pretty remarkable given the aerospace is likely still a big drag. So could you talk about, how much of a headwind is aerospace today? And I guess how much upside down the road it would present if aerospace normalized?
Pat Dawson: Well, Matthew, I think you have to also show oil and gas into that aerospace as well. So, while we've seen that recovery that I talked about in our demand, I mentioned earlier, which, we're pretty much back to where we were last year at this time. Without aerospace to your point and without oil and gas, and also without the full recovery in a lot of industrial coatings. And so, you guys cover all the big coating houses. And so I think there's more upside here to the demand. The other point I did mention is that we really saw a lot of customers and their customers, customers, take inventories down really to low levels at the end of last year, which is not uncommon. But we think inventories are pretty low levels here going into the new year as well. I think that bodes well for ongoing traction that we have seen late last year and that we're seeing here in Q1.
Operator: The next question is from Eric Petrie from Citi.
Eric Petrie: Appreciate if you comment on the 30% of merchant chlorine transitioning away some indexes. Could you quantify it at all for the rest of the portfolio, including caustic soda how that traction has made progress in your end?
Scott Sutton: Dami, do you want to comment on that?
Damian Gumpel: Yes. So good morning, Eric. We continue on a very deliberate approach here that in terms of looking for our contract openers, canceling your evergreen contracts, pulling contract, renegotiations forward, both across chlorine, and caustic soda, to move away from these arbitrary, sometimes they'll take third party indices, and move towards something that puts -- are controlling our own destiny. And so, we fully expect to continue to move along that we achieved, every new contract moves us closer and closer to that goal that, that Scott has outlined and we have achieved. Everything that we were able to open and negotiate in contracts here in the second half of the year across all of our molecules, we achieved that. So much more to come here but we're very active on that front.
Eric Petrie: Okay. And for my follow up, U.S. Gulf Coast EDC prices have doubled to $600 per ton. Is Olin running full out, or not because of lower caustic net-backs? And then, are there any other chlorine derivatives that are right for the bottlenecking capacity?
Scott Sutton: This is Scott. I mean, what I would say is that, you have to think about how we are running our model and we said we're not going to sell into poor quality markets and therefore we're not selling so much into the caustic world right now. Because these things are co produced. We go back and look at chlorine and basically that says we're not selling as much chlorine into certain markets and that means every derivative has to compete. Clearly EDC is becoming more competitive for that chlorine, but I just don't want to walk away from this Q&A and people think that we're running assets are or where we are because we're not at the moment. Those are running more than maybe some other derivative assets might be all connected together.
Operator: The next question is from Jeff Zekauskas from JPMorgan.
Jeff Zekauskas: Your operating cash flow and in the quarter seemed pressured. And you really lifted your accounts payable, which assisted things. Can you talk about some of your operating cash flow dynamics?
Scott Sutton: Todd, you want to take them?
Todd Slater: Yes, Jeff, consistent with what we have said throughout the year and in our call in early November, we said we were ultimately going to reduce working capital by around $150 million, end up being 141 million. It's hard to predict the exact timing of tax refunds on the rise, we're going to hit it. Remember that does include funding $67 million of working capital for Lake City. So we had purposeful activations on our entire working capital front and what the achievement occurred was what we expected.
Operator: The next question is from Steve Byrne from Bank of America.
Steve Byrne: You've mentioned you have underutilized ECU capacity and that it's under review. My question is really about what are the options you're considering? Is it likely that you'll shutter capacity and keep it so to speak warm until demand warrants bringing it back on stream? Or have you looked at the technical feasibility of retrofitting electrolyzers instead of using salt brine, use fresh water and produce hydrogen? Or to use a lithium chloride brine and produce lithium chloride and chlorine? Have you looked at those options as an alternative?
Scott Sutton: Hi, Steve. No, the option we're looking at and I think highly likely is a permanent shutdown of some ECU production capability, just like the other shutdowns that we're doing are all permanent shutdowns. And with regard to your other questions, I mean, we just have so much more value to deliver and lift in terms of our current businesses. The answer to your question is no, we're not looking at any kind of changes in chemistry at the moment.
Steve Byrne: Okay. I don't know $10 a kilo for hydrogen seems like a pretty high value option. But I did want to drill into your productivity initiatives. Is this a program that you've modified since coming on board Scott? And can you comment on the 600 projects that you have underway? How would you characterize how much this is kind of top down versus bottom up? And if it's coming, from -- broadly within the employee base, what is your approach to incentivizing all employees to contribute to this pool of productivity ideas?
Scott Sutton: Look, I would just say that, no, it's not me, it's the team doing this. As far as how the team is doing that Jim is going to answer in just a minute. I think the answer to the question is why the employees would be incentivized to do this, is basically because they love Olin and want to see Olin be really successful in the future. And like I said, in my opening, I mean, I'm just so proud of this broader team for really jumping in and originating things. Jim, do you want to add anything?
Jim Varilek: Yes. Well, that is that what we've really done is, we've broadened out the program and intensified the program. So we've had productivity in the past, but now it's -- we're literally driving it down to every employee. So, on a weekly basis for instance at the end of a particular week or a shift, some of the folks that are actually operating the plants will get together and say, what did we learn this week? And what do we think that we can do better and lower costs? So and then they take those ideas and we actually follow up on those. So that's an example of the kind of thing that even every operator of a plant on the shift, or what we're doing, it doesn't matter where they're closing the books or anyplace else in the company, we evaluate on a regular basis, what isn't being done, well, what did we see that could be done better, or save money and we actually put it into a project and we follow up on it. So it's a grassroots, all employees based type of program, and then we elevate them up and we follow through on the projects. 
Operator: The next question is from John Roberts from UBS.
John Roberts: Olin acquired KA Steel, a long time ago as a way to get control of more caustic molecules. Would that be an example of the type of things that you're thinking about? I know, you're thinking about other things in addition to that, were that's not the kind of thing you're thinking about in terms of controlling more molecules.
Scott Sutton: Yes. Thanks, John. Right. I mean, I would just say that could be an example, right? It would be one tool of that. I think there's a lot of ways to have more molecules flowing through our sphere of influence than doing complete acquisitions now that probably in this industry hasn't seen them added together, right? They seem one by one but in terms of uniqueness being set up around a model where we go out and do that, which will drive growth for many years to come for Olin. It'll probably be a bit more sophisticated than one by one steps.
John Roberts: And then, secondly, sequentially from third quarter to fourth quarter, your ECU index moved up about 6% and your EBITDA on relatively stable volume moved up about 13% for the segment. Is that about the right leverage that we should think about kind of a two to one move in EBITDA versus the index?
Scott Sutton: For the level we're at right now, it's probably okay. I mean it's rule of thumb. Clearly, there's a lot of other things at play in terms of productivity and turnarounds and all those bags but it's certainly indicative.
Operator: The next question is from Arun Viswanathan from RBC Capital Markets.
Arun Viswanathan: Congratulations on all the progress here. I guess I just wanted to ask the progress question a little differently. So last quarter, you laid out a $50 million to $200 million bucket for optimizing the ECU value. Do you feel like you've achieved maybe the midpoint of that on a quarterly run rate basis at this point? Or are you leaning towards the upper end? And then, secondly, when you think about the move from 250 million to 375 million, say, on a quarterly run rate basis of EBITDA. Where do you feel like you achieved that 375? Is it maybe exiting Q4 ‘21? I know that you're not achieving the 415 in '21. But do you think you can get to the run rate of that maybe in late '21, or early '22?
Scott Sutton: Arun, the answer for the first part of the question is, that's a little bit of why we're showing a bias to increase what we're forecasting for next year, is that we are leaning beyond the midpoint of that bucket that you refer to. Can you restate use the number 375, I'm not sure what that number is. I kind of missed it. Can you restate what you were asking?
Arun Viswanathan: Well, I was just implying that if you say 1.5 billion on an annual run rate EBITDA basis, maybe that's 375 a quarter or slightly above that. That's what I was referring to.
Scott Sutton: Okay. Yes. I mean, that of course is probably two to three years out where we get to that kind of run rate consistently. I mean, are we going to have to reach a point where we touch in the 300 to demonstrate that we have the capability sooner than that. I think we will.
Arun Viswanathan: Okay, great. And then, just lastly on leverage, there's a target to get to three or so by the end of next year. Beyond that, I mean do you feel like that's the right level for you guys to remain at? Or would you see you going even lower? And if you remain there, how do you see priorities of cash use? Thanks.
Scott Sutton: Todd, you want to answer that?
Todd Slater: Sure. Arun, we're targeting to be in that three times range, within the next 12 months. Clearly, from the levered free cash flow of $0.025 to $0.035 a share, we've talked about, that will help us, we're going to use that cash to continue to pay the dividends and to reduce debt. We just paid the $120 million this January. Now, the next targeted debt that we have is the $500 million of the 10% bonds, is due in 2025. We're targeting to try to pay those off fully in 2021. So, that's where we're headed. And as we move beyond 2021, clearly, we would like to see debt come down a little bit. And then, we have opportunities for cash as we continue to generate.
Operator: The next question is from Travis Edwards from Goldman Sachs.
Travis Edwards: Appreciate the color on the business. Maybe to follow up on the capital allocation side and guess maybe at the risk of coming across from last quarter, but not just on those 2025, I think, you've been clear and have proven what the free cash flow you are allocating towards debt reduction, taking out the 23s? We're just wondering, is there anything as far as sort of market environment, credit market support that would change how you're thinking about allocating that cash flow, not necessarily towards that reduction that may be coming to market instead, with your debt trading in the 4% range and the coupon on those being 10%? Anything that could, I guess, is there anything in the environment that could change that would help you rethink or lead you to rethink how you would address that debt.
Todd Slater: We obviously always look for opportunities to be mindful of ways to reduce our interest costs. However, we also balanced that with the amount of free cash flow that Olin generates and we need pre-payable debt. So clearly, we are targeting pre-paying that $500 million, 10% bonds if possible this year.
Scott Sutton: Just to add on that. Todd is exactly right. I mean, we're going to go after that $500 million this year, a large part of that certainly comes from our operating cash flow. And then, we'll do some clever things to get the rest of it.
Operator: The next question is from Roger Spitz from Bank of America.
Roger Spitz: For 2021 working capital, unless you said this earlier, do you expect that to be a source of use of cash into to what extent?
Scott Sutton: I'll just quickly answer it. I mean, we're going to use a little bit of cash for some working capital. And that's all factored into it. When we say we're going to get levered free cash flow at $2.50 a share to $3.50 a share. That's all factored into it. It'll be a slight use of cash in 2021.
Roger Spitz: Perfect. I'm wondering back on the Epoxy, with the Hexion furnace force majeure in Europe, how much is that driving the spike in this -- at the LER versus say, perhaps less Chinese import pressure into Europe because of stronger demand in China and stronger demand overall? Thank you.
Pat Dawson: Yes, Roger. This is Pat. I would say that force majeure that you referenced is more of a minor issue compared to the bigger issue I mentioned earlier around overall demand and demand out of China.
Operator: As there are no further questions, this concludes our question-and-answer session. I'd like to turn the conference back over to Scott Sutton for closing comments.
Scott Sutton: Yes. Thanks. I mean, just in closing, I'd just like to say that Olin is going to continue to win our way to a differed valuation, which means we really have to lift Olin people high. And you might be interested to know that we also host internal progress calls each quarter facing our own internal analyst. And it's slightly off-cycle with this call, but we call them something different. We call them lifting calls and we have three lifting business units and the leaders of those business units report on our engagement, our drive, our initiatives and progress, similar to what I do here on earnings calls. So we'll look forward to discussing that topic more with you on future calls as well. So thanks a lot for joining us today.
Operator: Thank you for attending today's presentation. You may now disconnect.